Christopher Coccio: I would like to introduce myself and welcome you to Sono-Tek’s Second Quarter Earnings Release Conference Call. My name is Christopher Coccio. I am the Chief Executive Officer and Chairman. And joining me today is Stephen Bagley, Chief Financial Officer and Steve Harshbarger, our President. This conference call will be recorded. Now this is our first time of holding a conference call. The next time we will schedule a closure to the press release. So the format for the call today will be a walkthrough of our financial results for the second quarter of fiscal year 2015, which ended for us at the end of August and a review of the Company and a brief question-and-answer period. Stephen Bagley will conduct that walkthrough and after he is done I will give you my impression of the current quarter that we’re in. And also with me here if I failed to mention is Steve Harshbarger, our President. So at this point I am going to turn it over to Steve Bagley, who will take you through our financial results.
Stephen Bagley: Thank you, Chris. Good afternoon everyone and welcome to second quarter earnings conference call. My name is Stephen Bagley, Chief Financial Officer. Today’s presentation and our answers to your questions include forward-looking statements. These statements are based on our current assessment of the markets we operate in. Actual results could differ materially from any stated or implied projections due to changes in one or more of the factors described in the Safe Harbor section of our earnings release, as well as our filings with the SEC. Okay, sales for the second quarter were 2.634 million, compared to sales of 2.537 million for the second quarter of last year, an increase of 97,000 or 4%. During the second quarter, we experienced an increase in sales of our XYZ platform units and fluxing units. The increase in these sales was offset by a decrease in sales of our nozzles, generator used. I would like to point out that the sales of our stent coating units, XYZ platform units, widetrack units and servo units typically vary from quarter-to-quarter. We have seen demand for our products fluctuate and demand is dependent upon market conditions. The continued extension of our product lines has reduced our dependence on any specific market and does provide us the flexibility in economic conditions. During the second quarter, our gross profit increased $48,000 to 1.258 million compared to 1.210 million for the second quarter of last year. Our gross profit margin was 48% of sales for the second quarters of fiscal 2015 and 2014. During the second quarter, our research and development and marketing and selling costs increased when compared to the second quarter of fiscal 2014. Our research and development increased due to increase in salaries and outside consulting fees. This increase is caused by our ongoing development of new systems for the Food and Electronic segments. Our marketing and selling costs increased due to an increase in sales salaries and an increase in international commission expense. The increase in our international commission expense was expected. In the prior year period, we recorded four large sales that was shipped to Asia. These Asian sales originate in-house by our internal sales staff and as such we had no external commissions applied to these sales. During the quarter, our interest expense decreased due to the refinancing of our industrial park which took place in December 2013. Our net income was 115,000 for the quarter, compared to 105,000 for the second quarter of last year. Our basic and diluted earnings per share was $0.01 for the second quarter of this year and last year. And at this point I will turn it back over to Chris and he will take over.
Christopher Coccio: Yes, I would like to apologize for starting a couple of minutes early. We didn’t quite get it right. But what Stephen Bagley was going through was basically reported in our press release and in our Q of course and it was the increase in our sales and in the increase in our income both of which took place with this quarter relative to the second quarter of the previous year, as well as quarter-to-quarter in this year and [indiscernible] where they have reasons behind some of the changes that took place in our numbers, R&D cost being up for example, that’s a good thing for us because it allows us to develop new products in areas. Salaries were up a bit because of the economy starting to change and as the economy gets a little better we retain the best talent here in the Company. Marketing is the only another increase that was driven by things such as [indiscernible] expenses again is a positive relative to our [indiscernible]. Now the, another good thing that took place was the reduction in our interest expense. We did refinance the industrial park so that we have bigger ownership of that park and the reduction in the interest that we’re paying on it. And what I wanted to do at this point was to give you my idea of how we’re doing in this quarter because we’re about halfway through the quarter as you know. And so this quarter is looking good in fact stronger than the last quarter and that’s based on current estimate of backlog, shipment and proposals. We are a short cycle business so it’s always a question of the balance of those things together that really makes for our ability to forecast the current quarter. So we see that kind of have another increase in sales and we believe the income will be equally in that same category. And where it’s coming from is what we call 3D coating equipment or actually more precisely 3 axis coating equipment. We sell a lot of that equipment and it’s been very strong in the last several quarters it’s used for a variety of coating applications everything from medical devices to advanced energy projects and even some medical applications. And in addition to that we are seeing increased sales in the medical device area and the fluxing equipment area which is the basic electronics hierarch of our Company. So we’re looking forward to a good quarter here and a good year as a matter of fact we’re still forecasting at least 5% perhaps higher in terms of our sales. And that’s higher growth I might point out because we’re not growing by acquisition we’re growing by the organic [indiscernible] bringing new customers into areas like food, technology for example which we’re now enjoying some success in other area. So I think at this, I will open it up to questions and I would ask anybody who has a question to provide their name and business affiliation, so we will so others will know who we are talking to and so we’ll handle as many as we can at this timeframe, gentlemen.
Question:
and:
Christopher Coccio: Alright, we’re going to ask at the time if you have questions and if there are not then we thank you for attending our conference call.
Unidentified Analyst: Hey Chris, can you hear me? It’s John Minco.
Christopher Coccio: Yes, I can.
Unidentified Analyst: Okay, sorry I’ve joined -- I got on 1 o’clock so I may have missed a good bulk of the presentation.
Christopher Coccio: John sorry it was mainly the Safe Harbor statement and just the comparison of sales for the -- sales and income for the quarter. So I don’t think there was much missed there, but we do apologize for starting.
Unidentified Analyst: No problem. No problem, it’s good to be early than late, so that’s good. So, just a couple of quick ones for you, I joined when you were giving an update in terms of your outlook for the current quarter and year. And I think I heard you say that what’s driving the increase is I think I heard medical device and fluxing. Was there something about glass in there as well?
Christopher Coccio: I did mention glass specifically but that is part of our portfolio and we are selling 3D 3 axis coating equipment, that’s really the main thing that’s been driving our growth this year and I’ll ask Steve Harshbarger, our President to elaborate on the growth aspect of our business.
Stephen Harshbarger: Sure. I mean most of the growth is coming from some of our new product development areas particularly in the food as Chris had mentioned several of those machines in addition to the food area are coming from our 3D robotic machines which are primarily in the glass area and in the semiconductor area which are both areas that we’ve been putting a lot of application engineering and new project development resources into for the past year. So that’s where the growth is primarily coming from.
Unidentified Analyst: Okay, and Steve in terms of the food, I know that we were doing kind of -- and we shipped a couple and you were doing kind of I’ll call it pilot programs. Are you starting to see more progress there in terms of reorders for the larger programs?
Stephen Harshbarger: Yes, we have and we have what we have considered a real nice show site where we have our first major installation of several machines that are up and running. And since that time we have actually sold additional machine to a different customer it’s another very nice strategic account for us to be shown in the European market. So that is an area where we’re showing some of the growth from as well.
Unidentified Analyst: Okay. So I’ll jump back in the queue and see if you still have other questions.
Unidentified Analyst: Hi guys. This is Dan Koziol from [indiscernible]. Can you hear me?
Christopher Coccio: Yes, we can hear you Dan.
Unidentified Analyst: Okay, great. I had couple of questions, I guess the first you mentioned the semiconductor market, could you help us understand a little bit what you’re doing there in terms of some of the next-generation products and maybe some of the new advances in the advanced packaging, coatings, is that an area where you are kind of working?
Christopher Coccio: It is a little bit of both what we’re primarily doing there is coatings photoresist onto MEMS which are in basic are the small centers that are in your tablets and your cellphones. And what we’re doing there historically Sono-Tek over the last five to 10 years has sold just nozzle systems in that area. And what we really want to get involved with was selling a larger package and that’s what we’re doing now. We’re actually selling our XYZ Motion Systems for the same application and what that took to expand into that area we did several significant investments into upgrading our lab to accommodate the necessary testing in application engineering expertise we needed to enter that market and sell larger machines and we have a new system that we’re also developing and introducing and we’re just starting to see some of the initial sales for that machine. And again that’s an XYZ Coating machine. But it’s primarily still drilling to the MEMS area is the primary focus right now.
Unidentified Analyst: Okay, great. Are you still selling into the OEM that you have signed before or just now are doing in the financial market?
Christopher Coccio: We still have two very significant OEM channels for that product line which is just nozzles but they are still presently buying from us and there is, it’s a good relationship in both cases.
Unidentified Analyst: Okay. And I know solar was a good area for you couple of years ago and there has been some talk about moving that to next wave in solar CapEx. Could you help us understand primarily where you play in terms of which type of the equipment your technology goes into?
Christopher Coccio: Sure. The silicon solar cell market also I should start by saying saw a drastic decrease over the past two years the silicon solar market in particular we predict will stay slow over the next year. However, we are seeing some resurgence from the thin film solar area which is an area that Sono-Tek is involved with deposition several layers in that sometimes it’s in the active layer, sometimes it’s in some of the encapsulation layers. But that is an area that we’re starting to see some resurgence coming about. So we’re hoping in Q4 or Q1 of next year we’ll start to see some recovery in the solar area. But it will be in the more advanced high-tech solar cells, which is thin film solar cell.
Unidentified Analyst: Okay, great. That’s helpful. And any update on the OLED encapsulation development?
Christopher Coccio: OLED we’re still actively selling equipment in that area. It’s primarily nozzle systems that we’re selling into the OLED area today. OLED unfortunately has run into several technical obstacles outside of the Sono-Tek equipment for introduction into the market. There is a couple major players in the Korea market that are really leading OLED today. And both of those have fairly publicly announced their delays in coming into the OLED marketplace. And so it’s still significant for us but not the growth that we were hoping for primarily due to delays in entering the technology to the marketplace but not by a delay from Sono-Tek per se.
Unidentified Analyst: Okay. And if we did see a change there for example we have the OELD small screens for the mobile devices, then you have the televisions and there is some talk for the flexible OLEDs. Is there a particular area where you guys work on one versus the other?
Christopher Coccio: Yes, we’re involved in the OLED displays to be clear now many people you may see what they see these, they see OLED backlit LCD displays now that’s a very different technology than the flexible displays. You may have seen recently on the marketplace companies like Samsung bringing to market screens that are actually curved extra OLED technology it’s not just OLED or LED it’s the displays where I should backlighting that’s -- the screen itself is OLED technology there. So, you will notice today there is really not a lot of those curved displays in the marketplace right now and that’s ones that we would really like to see developing faster and hopefully bringing our technology more into play [indiscernible].
Unidentified Analyst: Okay, so really the larger format screens.
Christopher Coccio: The larger format is where we can involve primarily, correct. There are differing technologies to manufacture which are very inexpensive for small format ones. It’s the large [indiscernible].
Unidentified Analyst: Okay, I appreciate the call and I’ll just leave you with one other question it’d be helpful maybe if you could provide some color to kind of size some of these markets that you play into in terms of the opportunity for Sono-Tek say over the next several years?
Christopher Coccio: That is real difficult Dan and the reason that does because we’re actually creating markets as we evolve. We’ve seen the market that we play in actually increase as people have come to recognize the viability of this technology and others have entered it. So, in our Annual Shareholders Meeting we showed a chart that showed an increase in what we think the size of the market is based on what we know of our sales and competitive sales and we think that’s going to continue and it’s just that it's the market ultimately is very large, I mean it's so large that we don’t even see it, it could be hundreds of millions of dollars but it's going to take time to pioneer those areas and to colonize and so to speak. And so it is a very hard question for us to answer because it is one of the creation, as we go along MEMS and food technology and that market never existed before we started to pursue it and now it's becoming a part of our overall portfolio. And as to think of another areas flux brazing that we are working on right now, this is no market that has been there for that type of ultrasonic approach the flux brazing that we now have customer relationships going on as we develop appropriate systems for them. So, what we’re trying to do as we always have, but it’s become a very good, a very practice game for us increased revenues by a number of things and we look at the new markets and hardware and the application engineering that goes with it and some of those are food, MEMS that Steve mentioned flux brazing which I just brought up. And so those are areas where we see that we can move this Company forward. We’re doing other things to increase revenues investing in our laboratory because one customer said that that’s the place where we make most of our sales actually. Trade shows where we have an aggressive schedule for trade shows that you can see on our Web site we will do that. And on the profitability side of things we are taking steps to increase the overall long-term profitability of the Company, one is in the purchasing area as we go through step-by-step looking at the different things that we buy in any type of volume. We have a program under Steve Harshbarger’s leadership where we are going through renegotiations and negotiations on these items, and have been purchasing reduction program. We have an expedited delivery program where we can also increase the profitability and finally we’re looking at implementing at this point, some aspects of the Kanban system after we have investigated five best for this company and being manufacturing and we see some dissect in our both cost and quality. So those are the things that we’re focused on as we sit here today and looking forward for the next six months to a year. I think that’s it from our side, so unless there are any last parting questions, I think we’re going to thank you for calling in and we’ll look forward to doing it next time, but do an even [Call Ends Abruptly].